József Váradi: Good morning, everyone. Welcome to the – to this conference for the Q3 fiscal 2021 results. Maybe I will just start it by outlining a few thoughts upfront that are important in the presentation, obviously, to the growing of the business. But Q3 is a period which was severely impacted by travel restrictions imposed by governments across our markets. As you know, we are operating to 47 markets. And I would say that not even two countries applied the same restrictions. So it’s not only the restrictions, but also the complexities coming out of the restrictions across markets that impacted our business and largely the industry. We ended with a very strong cash balance, €1.2 billion at the end of December. As we said before, we are a very resilient business. And even if we don’t operate a single flight, we are still good to go for another two years with the current level of liquidity. But of course, we are doing better than that by operating at least part of the fleet. And that €1.2 billion does not include the €500 million bond that we just raised in early January. And we think that the bond issuance was a statement by the market. We were able to access liquidity at very competitive cost level. And we wanted to take advantage of the market. We are really looking at this liquidity as an insurance policy. We don’t want to touch this money, but we think that given the uncertainties in front of us, it’s better to have more cash than less cash, you never know. But based on our projection, quite likely, we won’t need to touch on this bond proceed. Our investment-grade got reconfirmed by both Moody’s and Fitch. As you know, there are only four airlines in the world at the moment that are investment-grade credits, and we are one of them. And obviously, that makes us very strong when it comes to accessing low-cost capital in the market. And let’s not forget that we need it because we continue to take act of deliveries. It’s not only that we have been managing the business on the basis of liquidity and minimizing cost and cash burn in the business, but also we have continued to invest into our future. And at least three lines are important here to mention. One is that we are one of the very few airlines in the world that has continued to take new aircraft deliveries as you can see in the chart coming that our fleet was actually grow significantly year-on-year, 17 aircraft, and we will continue to take deliveries in the coming months and years. That is important because it is improving our structural costs once we are revamping operations. And also, it’s going to reduce our carbon footprint. So simply, it is innovative fleet will give us a structural competitive advantage versus other airlines that are relying on an aging fleet. Our strong – our network has been expanded, and that enables us not only to have a greater geographical footprint, but also to have a faster restart once we are approaching the recovery phase. Obviously, it all depends on the restrictions out there and how those restrictions will get eased. We also made investments into leadership capacity and capabilities by hiring executives coming in executive management and also upping the capacity of the Board of Directors. And obviously, we had been making all these investments in lights of positioning Wizz Air in the post-pandemic market in that period. Moving on to the next slide, giving you an overview on the current state of the business. We have been very agile since the very beginning of the pandemic. In the period, we opened up 260 new routes, opened up 14 new bases, and now our route network is getting close to 1,000 routes. Now obviously, the operation of that network is subject to prevailing restrictions, but it is a greatly diversified network and it has been further diversified during the pandemic period. As said, our fleet was growing from 120 to 137 aircraft during this period. And with that, we entered into new markets, new countries. Two significant recognitions I would mention. We received the Airline of the Year rewards from ATW for 2020. And we became the very first airline in history to be under the limit of EASA from a regulatory perspective, now the operating AOC of the airline is oversighted by EASA, which obviously ups our standards, regulatory standards, and we got closer to fire because EASA is essentially the rule maker in the industry. So moving on to the next slide, Page 4. And this is really trying to demonstrate how agile we have been moving this business up and down as required by the circumstances. In a less restricted period, especially in summer, in August, we were able to deliver 80% of our capacity. And then you can see that now we are in a dip, given the restrictions out there, we took capacity down. We are applying a fairly simple principle that we are flying a cash contributing network and basically, what it means is that depending on the restrictions out there. And to what extent those restrictions affect underlying demand, we would be varying capacity in according to the principle of delivering cash positive – cash contribution positive flying. And you can see how load factors have been corresponding during this period. I would just note that December was a somewhat special period. We saw some one-directional traffic here or there, but we were able to balance it with a bit higher fare. So overall, I think we are satisfied with the performance of December with that regard, but all in the context of the pandemic and prevailing restrictions. We believe that people’s willingness to fly remains intact. People would want to go. The issue is restrictions. And obviously, with that, people’s ability to actually travel is greatly curtailed when you are subject to quarantine rules, testing rules, hotels, restaurants and bar are closed, obviously, discretionary travel becomes impossible. But we are seeing a core of essential travel still happening under any restrictions pretty much. And that core is very loyal to Wizz. And basically, this is what makes us operate the capacity, what we are operating at this point in time. And with that, I would hand it over to Jourik.
Jourik Hooghe: Thanks, Jozsef. Good morning to all. From my side, just a few key financial highlights for the quarter. On Page 5, you’ll see that the revenue for the quarter was down 76%, reflective of the low capacity flown that Jozsef mentioned in light of the continued travel restrictions linked to COVID-19. We reported a loss of €116 million for the quarter and an underlying loss, almost the same €114 million. The small difference between those two numbers is the loss related to discontinued fuel hedges, recall most of those were recognized in our half one results. On Page 6, you will see that the total costs were reduced by half and the ex-fuel CASK by 37% versus the same period in last year. Recall our ASKs are down around 70% for the period. Costs that are almost fully variable were obviously fuel and airport charges and then you’ve seen that we’ve done a good job on the variability of staff costs. Recall, we do not meaningfully benefit from furlough schemes, but we’re also not dependent on them. And then the cost buckets that were much more rigid were, for example, maintenance for the reasons that are well known. I mean, we’ve incurred some maintenance events that we had pushed out from half one into half two. We obviously keep our aircraft airworthy, even if we don’t fly them, and we have also started to redeliver aircraft incurring some costs. And then the other rigid cost in the overview is depreciation, where lower depreciation behind lower utilization was offset by some higher amortization as we terminated two leases early. And obviously, we also had some more infrastructure versus prior year. So all in all, we continue to have very strong cost plans, not only in the quarter that closed, but also for the next months to come, where we continue to see material restrictions on the business. On Page 7, we’re outlining our ancillary revenue performance, growing a very, very strong 20% from €30 per pax to €36. Ancillary is again now more than 50% of our total revenue, and it’s motored really by our core products, where we have driven material conversion increases, be it on the bundles like WIZZ Go or WIZZ Plus or on the flexibility products like Wizz Flex or the loyalty program with discount. So ancillary continues to have a lot of potential, which is obviously important for us as we will use ticket fares post COVID-19 to drive penetration where we see a responsive market. So on Page 8, you’ll have a look at liquidity, obviously, critically important. We had outlined at the time of the half year results that this would be a quarter where we would see a larger cash burn as we anticipated that we would have limited contribution on the limited flying that we would do given the season we’re in, the winter season. And this is what you see here with an operational cash burn of €194 million, if you add the first two great columns there for three months or €64 million per month, so just below our guidance of €70 million in the case of full grounding. Additionally, as we have guided, we have invested in aircraft deposits during the quarter. A part of these deposits will return as the cash inflow in next quarter. And we have also seen, as we have guided, a level of unwind on the balance sheet accounts as we had materially lower activity during the last quarter than during the summer quarter, which, for example, impacts the ancillary revenue balance. Now the liquidity potential of this business continues to be very strong for Wizz Air as the aircraft deposits will come back in part, as mentioned. But even more importantly, the rewind of the balance sheet positions will happen. I mean, these positions are now at a low point in our history. For example, if you take unflown revenue, we have a position of around €60 million, in normal times, this can be close to €0.5 billion. So this will obviously rewind as the restrictions will go away. So on Page 9, we reiterate some of the key points. Low cash burn at €64 million per month. You’ll recall the guidance of €70 million, and we maintain that guidance also for Q4, given the trading environment and the restriction environment. Maybe relatively similar to the quarter we just passed. I mean, who knows what will happen with the restrictions, especially during the back half of Feb and March. Our burn rate in the quarter took into account €20 million per month of fuel hedge costs. And obviously, this amount will decline month-on-month as we stop hedging once COVID-19 hit. Refunds are current. So we’re at levels similar to pre COVID. We just have €1 million balance of refunds left, so almost nothing. And as mentioned, we issued into our EMTN program, a first-time bond issuance for the company, a €500 million 3-year note at 1.35%. So very favorable cost of debt, well-timed and, of course, strongly supported by the strength of our business model and the investment-graded balance sheet. So with that, Jozsef, back to you.
József Váradi: Thank you, Jourik. So moving on to Page 10. This is the outline of key priorities and focus areas for the current and the coming financial years. We remain focused on cost management and cash burn. I think we been running this business in a very disciplined way. Could you please move the slide, and we’ll continue to do that going forward. We are only operating capacity that contributes to cash. That’s been a principle since the beginning of the pandemic and that continues to be the case going forward. I mean, interestingly, even in a very distressed period like where we are today, we are contributing to cash through our flying program. We have diversified our network, and we continue to diversify it going forward. But not only that, we are also very cautious and very focused on the integrity of our supply chain to make sure that we can ramp this business up very quickly once we are in position to do so. We have maintained investment-grade credit by both Moody’s and Fitch. And obviously, this is very important because we continue to access the capital market for aircraft finance. So our credit standing feeds into the cost of capital, what we are able to achieve. Now Wizz Air Abu Dhabi is airborne, and we are looking at scaling the operations. Obviously, Abu Dhabi is also affected by restrictions. But the country is doing quite a good job in moving ahead with the vaccination program. So we are expecting some easing or lifting restrictions coming into play in the future. And obviously, we’re going to be well positioned for that. We have invested into various digital platforms in the business when it comes to consumer interaction, consumer interface as well as the operations of the business and also fleet renewal. We will continuously reduce cost and our carbon footprint going forward. As said, we are building managerial capacity and leadership capacity at both leadership, team and board levels. And sustainability is a key focus area for us. We think that we are extremely well positioned to win on that. So it’s not only that we come out of this business as economically more competitive platform, but also a sustainability- wise more competitive platform going forward due to our fleet program and the way we are operating our fleet. So moving on to the next slide, Page 11. It is showing you the way we have diversified our network. As said, today, we are operating 39 bases, 14 more than prior to the pandemic, and you can see how we have invested capacity across markets in Europe and beyond. Some of that investments, new investments went into the Western European markets, some into the core Central and Eastern European markets and also as said, we opened up Wizz Air Abu Dhabi and now we have Wizz Air Abu Dhabi base operation. And it’s interesting to put that against our competitors. We are the one airline of the three large low-cost carriers in Europe that actually has been expanding its geographical footprint. The other two have actually been reducing the market footprint. So I’ll be saying that we are clearly building a competitive advantage here. Moving on to the next slide, Page 12. As said, Wizz Air Abu Dhabi is now airborne. We took off on the 15th of January. And now we are looking at expanding that operation. The operation of Wizz Air Abu Dhabi remains subject to prevailing restrictions in Abu Dhabi as well as the destination market. But we’re seeing that given the progress the UAE is making on vaccination, quite likely in the foreseeable future, we will see a more open market environment for Abu Dhabi. And we are adopting our network accordingly to market opening as a result. And now we have a team on the ground, and we have the fleet on the ground. We have four aircraft based in Abu Dhabi. So I think we are ready now to scale this operation up to an extent possible in the context of restrictions. Moving on Page 13. Our fleet program remains essential to the business and core to building competitive advantage in the marketplace. As you know, we are upgauging our fleet from A320 to A321neo operation. It is a 20% lower cost production. So this is a very fundamental pillar of the business. We have been maintaining our fleet program largely intact. There has been some reshuffling of capacity, not in a large extent. But obviously, we had to take note of the fact that the COVID-19 situation is probably more dragging than expected before. And we just wanted to make sure that we are adequately timing the deliveries of the fleet. But the fleet program is largely intact, as said. And if you look at the fleet growth, we closed the year with 137 aircraft in the fleet, a year later, we’re going to have 162. So we continue to take new aircraft delivery. It’s actually more than the fleet growth because also we are retiring and returning some existing leases. So this fleet program is not only giving us economic efficiency, but also it enhances our environmental standing by reducing our footprint. We are committed to reduce our CO2 emission by 1/3 by 2030. So it is a very important matter to us. And we think we are well positioned to win in the market. If you look at the evolution of the seat count, you can see that today, we are at around 205 average seat per aircraft, making us the largest singular aircraft operator in Europe, and that will grow to close to 230 over the course of the next five to six years, building a significant economic advantage. I mean aircraft economics clearly correspond with seat count. Moving on to the next slide. This is showing how we are building value for the business across different lines. I think it’s interesting to see the evolution of fares and the evolution of unit revenue over the course of the last three years quarter-on-quarter. You can see that we’ve been able to reduce our ticket fares. That is very essential to the business for stimulating demand, stimulating the consumer franchise. But at the same time, through the enhancement of ancillary revenue production, we’ve been able to actually achieve higher unit revenue. So we continue to unbundle. I think we continue to appear to various travel groups, those as well who are very budget constrained as well as those who are more comfort driven. And we are offering the choice to everyone to really tailor that travel experience the way they wish. Mobile is really now returning the dollars we invested. We are approaching half of the revenue obtained through the mobile app. That’s very significant. We must be one of the leading airlines with that regard and we are very pleased with the development that we continue to push the mobile platform because we think that this is simply the most efficient platform we could have and this is probably the most accessible platform in any event because that’s in the hands of every existing or potential prospective consumer. The brand has gained a lot of strength during this period. Obviously, we are measuring brand awareness and essentially every core market we have upped our game, and we have been benefiting from the pandemic situation when it comes to brand awareness. And in some countries, in a very significant way, very quickly, very significant gains on the brand. Obviously, this is very important for the recovery and the overall strength of the business going forward. As Jourik mentioned, we are basically refund free. We have refunded all customers, and we have been keeping that refund line pretty current for a long time now. So we are not building liquidity by taking credit from consumers. I think it is a key issue for us that we don’t want to disappoint consumers with credit issues. So if we have to cancel because of restrictions imposed on us, we are promptly refunding consumers. So moving on to the next slide. I mentioned sustainability as one of the key focus areas of the business. And indeed, we are looking at ESG as a matter of sustainability on the one hand, but also looking at people matters as well as our impact on economies. We have a bunch of initiatives when it comes to managing sustainability. I think it is getting increasingly recognized by various rating agencies that we are enhancing our standing on sustainability. I mean, clearly, we are the greenest airline of any European airline. Given the fact of the aircraft, the age of the fleet and the way we are operating the aircraft, the gauge of the aircraft. And as a result, our carbon footprint is by far the lowest in the industry in Europe. We have been making a lot of efforts in people matters. As you know, we have been talking about this before, we have a number of programs in place, moving cabin crew to the office or moving cabin crew to captains. We have programs in place, and we are supporting these initiatives also from a financial standpoint. We are much focused on gender diversity at all levels in the company, whether this comes to the Board, leadership or managerial levels or even flight crew levels. We think it is an important issue and with like market diversity, we are gaining a lot of strength. We’re seeing that gender diversity is also a source of competitive advantage for the business. Page 16, the next slide. As we communicated to the market, we have hired a number of new directors in the Board, and we have hired a number of new executives in executive management. We are very pleased with these recruitments. Each of these individuals is bringing considerable value to the business, given the stage of development where we are and the priorities in front of us, both at Board and executive levels and we think this is much needed given the challenges and given the growth plans in front of us for the next few years. And by closing, and this is the next slide, I would just want to wrap it up. As you probably take note out of the presentation, we remain absolutely focused on cost, on cash burn to make sure that we are maintaining liquidity. We are running this business for cash as before, and I don’t think this is going to change in the near future. But once we are seeing an easing of operating conditions, obviously, we’re going to be upping our game by expanding our network to make sure that we are capturing the resurgence of demand. By diversifying our network, we’re seeing that we are actually very well positioned for recovery because we have a greater geographical footprint. We are much driven by VFR traffic and young peoples demographic. That is important because we are expecting those people to come back into flying considerably once the markets open up. I mean, as we speak, the backbone of our current operations is driven by the loyal VFR traffic, but we are covering – carrying for the essential type of purposes. We continue to invest into our business when it comes to network fleet and organizational capabilities. That is important because it’s not only that we maneuver ourselves through this crisis as effectively as possible, but also, we position ourselves for the future in the post-pandemic times. And with that, we believe that we are building a competitive advantage. As a matter of fact, we are widening our competitive advantage to win structurally and not only from an economic standpoint, but also from a sustainability standpoint. And with that, I would close the presentation and opening up for questions and answers. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Roeska from Bernstein. Please go ahead.
Daniel Roeska: Good morning, gentlemen. Two if I may. Number one, kind of the look into the glass ball. When will governments remove restrictions? And maybe something you can be more clearly on. What conditions do you think have to be true for governments to remove restrictions? Kind of what are you looking towards when you think about when that might be the case? And then secondly, a longer-term question. Do you think there will be additional regulatory health and safety measures after the crisis? And is there a difference in your mind kind of in this transition period while we’re still vaccinating then, let’s say, two, three years out, when we’re past the crisis, do you think there will be any remnants like tests or special safety measures that you will have to incorporate into your business? Thanks.
József Váradi: Thank you. Good questions. I don’t know what good answers are to these questions. It requires a bit of a crystal ball approach here. With regard to government’s positions, obviously, we are talking to governments. I think that is this concept of achieving herd immunity as a threshold. I mean, some countries will get there during the course of the next three to six months. Some others will take longer to achieve it. But I think it can be a significant threshold point for government decision-making. In my view, we’re going to – I think we’re going to start seeing easing of restrictions a few months from now. I don’t think this is sustainable what we have, current situation is affecting people’s psychology. I think it can create social unrest quite easily and may become counterproductive. So I think governments will have to come up with a balance act on this but I think it is going to be a gradual process. I don’t think we’re going to be seeing restrictions folding away right away on one event as restrictions were tightened up, restrictions will get eased step by step. But I would be personally expecting a significantly better operating environment by summer. And maybe we see some of it already in the spring period. But to be honest, I don’t know exactly. I mean it’s – I don’t know whether that is going to be another wave. I don’t know whether vaccination is going to be as efficient as it is expected. I don’t know if the vaccination program can be actually delivered the way governments intend to do that or there would be some hiccup in the supply chain. Or – I think there are uncertainties out there but at the same time, I don’t think either that the current level of restrictions is sustainable for a long time because I mean you are already seeing issues here or there, people rioting and going out to the street. So I think it has to be more balanced. But with regard to the regulatory framework for health and safety post pandemic, I think that is going to be an optimus. I don’t know what it is exactly, maybe testing, maybe some proof of vaccination. Maybe just sort of measures like what the industry implemented fairly early on, wearing mask and some social distancing principles. I don’t know. But I think that will be something. I mean, I don’t think, again, that this is going to be over on a day, it will be a gradual process and quite likely, the world will have to learn how to deal with the pandemics in a better way, more effectively because this might not be the last pandemic we are seeing, and there might be more to come, and we simply need to figure out the way of dealing with it. Do I think that all these issues would undermine as several? Certainly not. I think mobility is such a fundamental issue for humanity and for people. I mean, people who want to go. They want to discover the world. Yes, it may not be as easy as before. But I think the world overcame the 2007 terrorist events as well when security measures got imposed quite severely on the traveling public. I’m pretty sure that we will overcome this issue as well.
Operator: The next question comes from the line of Mark Simpson from Goodbody.
Mark Simpson: You’ve talked in the past about keeping 100 aircraft and crew current. So as to leverage any demand and recovery. Can you update us on what the current active fleet is? And is it reasonable to assume that the original 100 could rise to 120 in the September quarter? Just with some of the movements we saw this last quarter in terms of PDPs and then expectations of some of that coming back in. Could you just update us on the net CapEx assumptions for FY 2022 and 2023?  And then the last question, more in hope than expectation. But can you give us any comments about the forward bookings or patterns you’re seeing? Any specific cohort by age? Just some sort of guidance of what that market looks like?
József Váradi: Thank you. But let me take question one and three. Yes, indeed, we have pilots and cabin crew for 100 aircraft. But if you are stretching out there, could perform 120 aircraft. I mean, as you know, crew is measured on annual performance when it comes to 2 hours load to fly. So you have a bit of a way of flexing in and out of the roster. So we’re seeing that we are ready to move up to an operation of 120 aircraft fairly quickly. I mean, we could probably reinstate that level of operation within a month, let’s say, 4 weeks. Going further than that, like getting to 100%, we would need probably another two months because we would need to rehire cabin crew and pilots. But they are all lined up. I mean, I think we are working on that contingency should the market open up, and we would be in position to do more. We could do that. So we will have to see how the operating conditions evolve. We are making sure that every pilot and cabin crew is trained properly during the period. So everyone’s training is current. So they are ready to go. And likewise, at the moment, we are rotating around half of our fleet across our flying program to make sure that as many aircraft are current as possible, the others are sealed, but we have a program how to bring them back into operations through a comprehensive maintenance process. So we feel quite comfortable that from an operational capability perspective, the ramp-up can be done actually very quickly, very robustly. So it is really more down to the regulatory restrictions out there whether commercially, we can ramp up the business. With regard to forward bookings, I mean, what I can tell you is that prior to the new wave of restrictions, we were very encouraged by the trends, but we saw that we had very strong booking profile emerging for summer. You know that we have altered our network. On the one hand, we opened up new bases, new markets. On the other hand, we also kind of tailored the destination focus towards sun and sea destinations for summer because this is what we think that people will want to go to. And I think the market reacted very well to the fine-tuning of the network. But now as we are into a new wave of restrictions, I think people are somewhat down on bookings. But once these restrictions are getting eased, I’m pretty sure that the booking appetite will come back. I mean we know it for the fact that when a market opens up, I mean within hours, you are seeing a bulk load of bookings coming in. So the market reacts very quickly. One of the changes what we are seeing is that the booking curve builds up very different in our days than before. I mean we are selling around 50% of the seats in the last two weeks. It was more like selling 50% of the seats in the last four to five weeks before. So it’s not only that airlines are adjusting to the new circumstances, but consumers are clearly adjusting to the new circumstances as well. So they are prepared to make much shorter-term decisions than before.
Jourik Hooghe: Mark, with regards to CapEx, as you know, the order book is financed via sale and leaseback, and we have no intent as long as that is a competitive market for financing to change that for F22 and F23. So it’s really down to the, let’s say, the aircraft deposits. You’ll see that for this year, we actually managed to slightly decline, by the end of the year, the aircraft deposits. So we haven’t increased, let’s say, pre-delivery payments. And we intend to keep it that way as well for F21 and F23.
Operator: And the next question comes from the line of Jamie Rowbotham from Deutsche Bank.
Jamie Rowbotham: Jozsef, you talked about customers who are budget constrained, this requirement for a clear PCR test, 72 hours before departure to cost to the customer, sometimes of at least GBP 80. It seems to be becoming more commonplace for many countries. And I guess this might remain in place over the summer. How do you view the potential impact of this for the low-cost business model, given that these tests are, in some instance, as a multiple cost of the actual fare? Thanks.
József Váradi: Yes, indeed, it is a creeping cost item that adds to the budget. At the moment, I think the entire air travel in Europe is down to essential travel, and these people have to go, no matter what, no matter of the cost of travel. But once the restrictions are easing and demand will come back, it may affect discretionary travel. But at the same time, I would also say that what we are seeing is that at this short term, I mean, people are so much looked down that they will all just want to break out of the current set of circumstances. And almost like at any price, it is more down to their ability to travel and the restrictions allowing them to travel than the willingness to travel. And then we shall see. I mean, I don’t think that PCR tests will ever be there for GBP 80 pounds or so. I mean, it will also get commoditized. So the cost level may come down on these sort of measures. I think if PCR testing becomes the norm for traveling, I mean, this will become a commodity product, and the cost will come down significantly. But in any event, it will add to the budget. So given the price sensitivity in the industry, I mean, it may make some impact on the low end of the market. But I would also say that, I mean, we have learned it a number of times. When you look at the cycles in the industry, that when it’s kind of the down cycle and kind of the trough part, you also see a lot of customers trading down from high-cost legacy carriers to low-cost carriers. So yes, I mean, you may get the very low end of the market eliminated due to our creeping cost, but you would be also stepping into a market that is kind of downgrading from high-cost to lower cost. So on balance, I don’t think that we’re going to be seeing a shrinking franchise, customer franchise. To the contrary, I think we will have more opportunities going forward simply because we will be much more competitive relative to the industry. I mean, if you just look at the simple fact that in the industry in Europe at the moment, I think we are the only airline that continues to innovate its fleet. I mean that will result in a significantly better fleet economics flowing through the business relative to the balance of the industry that we design on an aging fleet. And that is a great – huge source of competitive advantage. And on top of that, we are also gauging the aircraft, and we’re going to be getting a lot of operational efficiency coming through the gauging. So I mean we will be miles ahead of the rest depressed on demand, we should be taking more than our fair share in that.
Operator: And the next question comes from the line of Neil Glynn from Credit Suisse.
Neil Glynn: If I also ask two questions, please. The first one on the subject of airports and your expansion plans. You’ve obviously done a lot of airport deals so far. Uncertainty levels have maybe prevented some deals being done already. And I’m just interested in your experience of that and whether there are a number of other airports that you might be able to get deals over the line with as clarity emerges over the next few months? And then the second question on the leadership team. Obviously, a lot of appointments recently, a lot of high-quality in caliber. Just interested in what that might suggest with respect to your ambitions in Western Europe. A lot of the experience has been in Western Europe? And to what extent do you see this as maybe preparation for a far bigger presence there over time?
József Váradi: Thank you. With regard to airports, I think we are seeing a few lines developing in the airport environment. One is that some of the airports have become incredibly eager to get us into their courts. I mean, there aren’t many airlines at the moment that are capable of delivering growth, that are capable of delivering capacity due to their financial state. I mean, we are clearly seen as one of them, if not the number one target in Europe. And I think as a result, we are seeing some deals on the table, which we wouldn’t have seen otherwise without the situation. So obviously, we are trying to take advantage of this and this is an ongoing process. So we have done a few deals, and there might be a few more deals to be had going forward. At the same time, we are also seeing some increasing level of politics flowing into some of the acts of certain airports, especially Western European airports not to undermine our challenge or let the position of the incumbent carrier challenged by newcomers like ourselves. So to some extent, some of these, especially hub airports, have become more protective to the interest of their legacy hub carriers, pretty much based on the instruction of government. So you are seeing this kind of politics creeping into it as well. And the third issue when it comes to airports is slot. I think we have made it quite clear that we totally disagree with any slot waivers. We actually think that this is a social crime. I mean this is kind of self defeating to society. This is the floating public interest. If you really look at it, for example, you look at the geographic example, I mean, Gatwick is now firing people, I mean, thousands of people are losing jobs. Gatwick is becoming a ghost house, it’s an airport. We would be ready to move. We would be ready to scale our operations significantly. But we are blocked because some airlines incumbent carriers are hanging on to their slots and their lobbying power is strong enough to override public interest, taxpayers interest, people’s interest. So personally, I think that this is quite incomprehensible. And we shall see how this line is going to go. But you have this layer of protection as well in the system. So it’s quite a mixed bag, I would say, some of the airports are highly competitive and some other airports are highly protective due to various reasons. When it comes to upping the game through leadership capacity, I don’t think that Western Europe is the motivating factor here. I mean, we are going to do probably more in Western Europe than before. But our core market remains Central and Eastern Europe. I think we have said this before that the way we are looking at our geographical footprint and growth going forward, we will remain focused on our core market, Central and Eastern Europe. And as you can see on the previous charts, actually, we have been making investments during the pandemic in Central and Eastern Europe as well by opening new bases, opening new routes. Yes, we’re going to be looking west. We’re going to be looking east. But these initiatives are more opportunistic. I think Western European initiatives are more opportunistic. I think Western European initiatives are more opportunistic. I think Western European initiatives are more down to market consolidation, how the market will consolidate, where we’re going to be seeing market vacuums. Airport deal matters. When you look at going further east, they tend to be more driven by the evolution of the regulatory framework. I think that’s what gets us into places like St. Petersburg or Abu Dhabi through the airline investment. But the focus will remain on Central and Eastern Europe going forward. Really what we mean on enhancing leadership capacity, dealing with the scale, some of the complexities coming with that ambition. If you look at the market diversity, the organizational diversity, what it really means, that is significant. And we just want to make sure that we are ahead of the game with that regard. But we are not preparing for any special action for Western Europe through this. This is to prepare ourselves for doubling this business in the next five years.
Neil Glynn: Thanks József. If I could just follow-up on that latter question. As some airlines have gained scale, there has been, obviously, vulnerabilities and bigger challenges that have emerged of the welling, perhaps most recently, air comes to mind. It went through the 100 aircraft mark. Just interested, what do you view as the biggest hurdle to avoid or challenge to avoid with this improved leadership team the next couple of years?
József Váradi: Yes. I think that’s exactly the right point. I mean, I think these are the kind of issues we are trying to address with the enhancement. I mean we are an organic company, and we intend to become an organic company when it comes to delivering growth. Having said that, I mean, clearly, there are kind of industrial thresholds in that development. I mean, it looks like the solid aircraft market is a threshold, and we need to make sure that we don’t screw it up if you want to put it that way. And on top of that, not only to scale, but also kind of the complexity coming through the multiple AOC operations. So now we are operating three airlines in the group. So we have Wizz Hungary for the EU. We have Wizz UK and now we have Wizz Abu Dhabi, and we want to make sure that we best synergize these operations to make it seamless to the consumer on the one hand. But also as seamless as possible from an operating standpoint, but we are in three different jurisdictions, in three different regulatory frameworks and we need to make sure that we comply. We have to comply. That’s not a choice. But at the same time, we want to comply as such that we are not creating unnecessary complexities and cost in the system. So we are looking at ways of operating the AOCs on the one hand, in full compliance with regulations, but also synergizing the group activities to an extent possible. So I mean, this is just a different scale. It’s just a different level of challenges that we are dealing with already, and we’re going to be dealing with increasingly in the future.
Operator: The next question comes from the line of Andrew Lobbenberg from HSBC.
Andrew Lobbenberg: You emphasized, Jozsef, with Neil’s question, that your intention is to remain fundamentally focused on CEE, your original market. As we think about how travel restrictions may ease as we go through this year, how is that playing out in your core markets? What are the political attitudes to opening up borders and travel? Because there seems to be some of the countries are quite keen to shut down first. So really keen to get some sort of local political color on the prospects or the pace of opening up in Eastern Europe? And then just a second question around slots. Obviously, as you mentioned, the outlook, the slot ruling is a bit unclear. But one of the proposals on the table seems to allow airlines incumbents to return whole blocks of slots to the slot coordinator and those don’t count against any 80-20 or 50-50 slot used requirement, and they get them back the next year. So that would mean that there could be slots available to you, but only for a onetime use. Would you be interested in taking up those? Or have you got no interest in things that don’t come with grandfather rights?
József Váradi: Thank you. Well with regard to the political agenda in Central and Eastern Europe, I think that varies by country, to be honest. I mean, the political agendas are determined, in my mind, at least by two things, at least from a pandemic perspective, one is the country’s ability to deal with the crisis in terms of – that has infrastructure available in the country, hospitals, hospital beds, ventilators, all those sort of issues. So they are very cautious on trying to manage the pandemic and restrictions accordingly to that capacity. And obviously, they also need to consider the economic impact of all the restrictions, what they are imposing. And the second line is the program for vaccination, how quickly they can roll it out. I mean, you – I’m sure you have taken note of the fact that some of the countries are very unhappy with the progress the EU has made on getting access to vaccines and the distribution of vaccines and some of them started taking their own path vaccines from different sources. So we shall see how those play out. So I would say that those two issues are the underlying matters for political considerations when it comes to opening of the markets. And the progress varies country-by-country to be honest. So I don’t think that, that is like a block effect in Central and Eastern Europe. So I don’t think on this very matter, that is West Europe versus Central and East Europe. I think you have – at least in our mind, we have 47 countries, 47 different issues, 47 different plus going forward on this pandemic and doesn’t really matter whether you are in the east or in the west, I think you will see specific issues, country by country. I mean that’s one of the – I think that’s one of the failures of the system is that the management of the pandemic has been uncoordinated. It has been done on a country by country basis. I don’t see that changing going forward. So I think we are hopeful in certain markets. I mean, if you look at, for example, the UAE or Israel, those two countries have been in the forefront of vaccinations. But the U.K. is doing quite well relative to the rest of Europe. As you know, Hungary is upping its game by getting access to various vaccines. So I mean we’re going to be seeing progress in different magnitude country by country. And I think this is kind of the rollercoaster what we are dealing with at the moment because all these matters keep affecting restrictions up and down, more or less, and it varies country by country. So it is a degree of complexity, a significant degree of complexity, what we have to deal with. When it comes to slots, yes, indeed, I think there is an initiative on the table at EU level that basically, airlines may get along operating, only 25% of their slots, but retaining 100% of their slot rights and they would free essentially 50% of the slots for others. But I mean, you need to think about it from a long- term perspective. I mean, so unless you can kind of figure out imminent profitability of a network, I mean, you are not going to invest into something that by the time you would start making returns on your investment, your slots are taken away by the incumbents. So I don’t think this is going to resolve anything. I mean, it kind of looks good on the face of it, but it doesn’t make much sense.
Andrew Lobbenberg: Yes, thank you.
József Váradi: Yes. I mean, I think first, this regulation has to be legislated. It is not yet legislated. It is just yet a proposal. But I’m just saying that unless you find a network or a few routes where you can achieve imminent profitability, I mean, you wouldn’t do that. I mean, typically, when you make network decisions, it works out as such that you invest in the first one or two years, before you start making financial sense out of that investment. So basically, you would be suffering the loss by the slots that are open to you. And by the time you would be returning that investment, the slots would be lost. So I mean, that’s not a great economic decision.
Operator: And we have time for one more question from the line of Ross Harvey from Davy.
Ross Harvey: Two questions for me. First one is for Jourik. First, congratulations on the super pricing on the bond in January. With the cost of debt that it implies, what you’re thinking in terms of fleet financing in the medium term, particularly that own versus lease question and maybe how are the lease rates you’re getting now compared to prior years? And second one is for Jozsef. I mean I know it’s very early days in a lot of those western bases. But clearly, with the expansion that you’ve seen so far, can you comment on whether you’ve uncovered anything on the cost side that’s different from what you expected in the western bases or anything surprising in terms of booking trends?
Jourik Hooghe: Yes. Ross, on your first question, I mean, for us, over the medium to long term, it’s all down to the cost of the financing. What we have seen in the past is that we were very competitive versus owned aircraft with the lease financing. We don’t believe that fundamentally, the market has changed. We saw that in fall when we did the last two rounds of financing, we were cheaper than bond financing of competitors – investment- graded competitors. So we’ll need to see when we go out with the next RFP, if fundamentally anything has changed. We saw that in fall when we did the last two rounds of financing.
József Váradi: With regard to the performance of Western European bases, I think it’s too early to be conclusive here to be honest because by the time we open these bases, the market got distorted quite severely by those imposed restrictions. But we made those decisions for the long run. I think the moment of starting of those bases, might have been seen as opportunistic and pandemic driven, but the decisions themselves were made for the long run. So I think we are trying to establish ourselves on a structural basis wherever we went to. So we need to see how the business comes through in a normalized context of life, which we are not there yet. But yes, I mean, indeed, when you look at Western Europe, certain cost lines are higher than those in Central and Eastern Europe, but certain other cost lines might be actually lower. So if I just give you two examples here. Obviously, labor is more expensive in Western Europe, and that’s the function of cost of living in the market. But fuel tends to be – the fuel premium, inter plane premium tends to be actually lower in Western Europe, simply because of the volume of supply and the competitiveness of the market. So some of these Western European bases, on a unit cost basis, are not any more expensive than every Central and Eastern European base. So I think it is a varying picture. But I can assure you that when we decided to open up these bases, we looked at the structural cost of these bases. And that’s been really the fundamental driver of our decision-making. And of course, we looked at the demand potential and our ability to build a financially solid business and to get profitability out of that performance in line with our core markets.
Ross Harvey: Thank you.
Operator: And I’ll hand it back to the speakers for closing remarks. 
József Váradi: Well, thank you very much. Thank you for your interest. I mean, I guess as you are seeing, I mean, we live on the same plant. We are in a very unique set of circumstances to operate the airline. But clearly, we had made ourselves very resilient, very efficient from a cash burn perspective to a minimize our liquidity impact going through this crisis. We have been running this business for cash, I think quite effectively. Certainly, relative to the balance of the industry. But at the same time, we continue to invest into our future to position business structure of Wizz Air post pandemic through market diversification, continuing the fleet renewal program and investing into management. So personally, I think that actually, the longer it goes, the deeper it gets the industry probably more structural gains to be had for Wizz. But in any event, I believe that Wizz Air will be one of the structure winners of this reset of these studies specific times in the industry. So with that, thank you for your interest. Bye, bye.